Operator: Ladies and gentlemen, thank you for standing by. Welcome to Sunrise Realty Trust 2025Q3 earnings call. Please be advised that today's conference is being recorded. I would like now to turn the conference over to Gabriel A. Katz, Chief Legal Officer. Please go ahead.
Gabriel A. Katz: Good morning, and thank you all for joining Sunrise Realty Trust Earnings Call for the Quarter Ended September 30, 2025. I'm joined this morning by Leonard Mark Tannenbaum, our Executive Chairman, Brian Sedrish, our Chief Executive Officer, and Brandon Hetzel, our Chief Financial Officer. Before we begin, I would like to note that this call is being recorded. Replay information is included in our 10/07/2025 press release and is posted on the Investor Relations portion of our website at sunriserialtytrust.com, along with our third quarter 2025 earnings release and investor presentation. Today's conference call includes forward-looking statements and projections that reflect the company's current views with respect to, among other things, market developments, our investment pipeline, anticipated portfolio yield, and financial performance and projections in 2025 and beyond. These statements are subject to inherent uncertainties in predicting future results. Please refer to Sunrise Realty Trust's most recent periodic filings with the SEC, including our quarterly report on Form 10-Q filed earlier this morning for certain conditions and factors that could cause actual results to differ materially from these forward-looking statements and projections. During today's conference call, management will refer to non-GAAP financial measures including distributable earnings. Please see our third quarter earnings release uploaded to our website for reconciliations of the non-GAAP financial measures with the most directly comparable GAAP measures. The format for today's call is as follows: Len will provide a general business and capital markets overview. Next, Brian will cover our view on the state of the commercial real estate lending markets, discuss our existing portfolio, and provide an outlook for our investment pipeline. Then Brandon will provide an update on our financial position. After that, we'll open the lines for Q&A. With that, I will now turn the call over to our Executive Chairman, Leonard Mark Tannenbaum.
Leonard Mark Tannenbaum: Thank you, Gabe. Good morning, and welcome to our third quarter 2025 earnings conference call. The quarter ended 09/30/2025, SUNS generated distributable earnings of $0.31 per share of common stock which covered our dividend of $0.30. Before Brian walks through our pipeline and portfolio, I want to take a moment to highlight what really sets SUNS apart from other commercial mortgage REITs. At SUNS, our investment focus is clear. We originate transitional loans to properties primarily in the Southern United States. This is a region we know well, and that local expertise allows us to generate attractive risk-adjusted returns through disciplined underwriting and thoughtful structuring. As of 09/30/2025, our leverage was approximately 0.4 times. That should increase as our existing loan commitments continue to fund. This is substantially below our targeted leverage of one to one and a half times. The peer average, however, is substantially higher than our target. As our long-term goal is to achieve an investment-grade rating from the top agencies in the next three to five years. Now turning to the portfolio, our weighted average loan to cost at closing is only 56%. This conservative positioning has led to our strong credit performance. Additionally, our new vintage portfolio with no loans made before January 2024 has also contributed to our strong portfolio performance. About 95% of our loans are floating rate, with an average SOFR floor across the portfolio of about 4%. SOFR has now dropped below 4%, and is anticipated to go lower. Given the SOFR floors in place across our loan book and our credit line's much lower floor and approximately 2.6% have the potential to earn additional income through the expansion in SUNS' net interest margin. As the company's largest shareholder, I believe SUNS presents a terrific risk-adjusted return at a lower effective tax rate. My confidence in our company is why I've continued to make frequent share purchases since our first day of trading. In my view, SUNS today offers a compelling entry point and a meaningful discount to book value with stable dividend coverage and clear earnings and dividend growth potential. We've also built a team that's built for success. Our eight-person dedicated real estate team within the larger Tannenbaum Capital Group platform gives us this disciplined underwriting, deep local market knowledge, and a differentiated focus on transitional commercial real estate projects across the Southern U.S. With that, I'll turn it over to Brian to discuss the market environment and walk through our portfolio in more detail.
Brian Sedrish: Thank you, Len, and good morning, everyone. Before turning to our current portfolio and pipeline, I wanted to take a minute to discuss what we are seeing generally in the real estate market. We have seen a notable pickup in activity over the past quarter. As financing requests have increased meaningfully relative to the first half of the year. We believe this is a result of borrowers gaining greater confidence that short-term interest rates are on a path of gradual decline. This renewed sense of interest rate stability is encouraging more sponsors to come off the sidelines and actively engage in capital planning, whether it be refinancings or new projects. The increase in activity is not limited to refinancing opportunities, as we are also seeing a rise in financing requests tied to new acquisitions. The bid-ask spread between buyers and sellers continues to narrow, and that is helping to increase transaction volume. We are well-positioned to finance new acquisition business plans where the basis has effectively been reset to levels that better align with current rent growth and for-sale housing assumptions. We are also seeing traditional commercial banks gradually reenter the market, primarily focusing on lower leverage lending. While their activity remains selective, they are playing an important role as back leverage providers for many of the transactions that we have been targeting. We view that as a healthy development indicative of improving liquidity in the broader CRE financing ecosystem. That said, the depth of the commercial real estate market remains out of balance. There remains a meaningful gap between primary and secondary markets, across property types and at different stages of an asset's life cycle, from construction through to stabilization. Most of the new financing activity is concentrated in the bridge lending space, primarily within multifamily and industrial properties. These are assets that have largely completed their improvement plans and are moving towards stabilization. As a reminder, at SUNS, we primarily focus on transitional real estate projects that have yet to reach stabilization or near stabilization. Our focus remains on this segment as we believe this part of the market still provides the strongest risk-adjusted returns. TCG's real estate pipeline primarily comprises loans to transitional assets backed by highly qualified sponsors that require a more structured solution, whereby our team can capitalize on its expertise in prestabilization business plans and complex deal structures. We believe that these unique core competencies allow us to capture the most attractive opportunities emerging in this current market environment. Turning to our active pipeline, we have continued to see improvements in both the quantity and quality of deals sourced. As of today, the TCG real estate platform has two signed nonbinding term sheets in documentation totaling approximately $170 million. We expect funds to be allocated a portion of these investments. Turning to the portfolio, our originations for the quarter ended 09/30/2025 partly reflected the slower market dynamics, which has picked up since quarter end. Specifically, in Q3, the TC real estate platform originated a $60 million senior secured loan for a two-tower condominium development in the Brickell neighborhood of Miami, Florida, of which SUNS committed $35 million. Over the period, SUNS funded $33 million of new and existing loans. As of 09/30/2025, the SUNS portfolio had $367 million of commitments with $253 million funded. Subsequent to quarter end, SUNS successfully closed on $56 million of loan commitments, which include approximately $26 million in a financing package comprised of two senior loans for collection suites and industrial for-sale development, including two projects located in Doral and West Palm Beach, Florida, and a $30 million loan in a senior bridge loan for the refinancing of a seven-story Class A retail property in the Galleria section of Houston, Texas. I remain highly confident in the opportunities set ahead, and I look forward to capitalizing on the many attractive opportunities currently in front of us. With that, I will now turn the call over to Brandon Hetzel, our Chief Financial Officer.
Brandon Hetzel: Thank you, Brian. For the quarter ended 09/30/2025, we generated net interest income of $6.1 million and distributable earnings of $4.12 million or $0.31 per basic weighted average common share, and had GAAP net income of $4.05 million or $0.30 per basic weighted average common share. We believe that providing distributable earnings is helpful to shareholders in assessing the overall performance of SUNS business. Distributable earnings represent net income computed in accordance with GAAP excluding noncash items such as stock compensation expense, unrealized gains or losses, and the provision for current expected credit losses, also known as CECL. For the quarter ended 09/30/2025, the Board of Directors declared a $0.30 dividend per share outstanding. The dividend was paid on 10/15/2025, to shareholders of record as of 09/30/2025. We ended the 2025 with $367 million of current commitments and $253 million of principal outstanding spread across 13 loans. As of 11/03/2025, our portfolio consisted of $421.1 million of current commitments and $295.2 million of principal outstanding across 16 loans with a weighted average portfolio yield to maturity of approximately 11.8%. I'd also like to note that as of 09/30/2025, our CECL reserve was approximately $400,000 or 17 basis points for our loans at carrying value. As of 09/30/2025, we had total assets of $258.8 million and our total shareholder equity was $184.6 million with a book value of $13.76 per share. With that, I will now turn it back over to the operator to start the Q&A.
Operator: Thank you. Star one one on your telephone and wait for your name to be announced. And to withdraw your question, please press 11 again. And our first question will come from Timothy D'Agostino with B. Riley Securities. Your line is now open.
Timothy D'Agostino: Hi. Thank you. Good morning, and congrats on the quarter. Just getting into the pipeline a little bit. In the investor deck, you had mentioned the pipeline assets are broadening your presence across the Southern United States. I was just wondering what new geographies within the Southern US you're seeing in that pipeline.
Brian Sedrish: Sure. Thanks for the questions, Brian. We are staying true to our focus of primarily the Southern U.S. I mean, that has not changed. Florida, Texas, of course, we are currently looking at. We have one signed in the Carolinas. In this case, specifically North Carolina. Georgia, Tennessee, those really remain the primary markets that we're seeing a preponderance of our deals. And then sporadically, as we've said, if there are interesting deals that we believe represent good risk-adjusted returns, we'll look at those, as well.
Timothy D'Agostino: Okay. Great. And then I guess within the geographies you just mentioned, are there any that stand out as the most attractive in terms of investment?
Brian Sedrish: Not particularly different than what we have historically been looking at. We still are seeing really interesting pockets in the state of Texas. There are certainly some interesting deals still within Florida. It's obviously asset class dependent. You have to worry about oversaturation. So just like anything, you have to be cognizant of the particular on-the-ground dynamics. The Carolinas still remain interesting. Tennessee, we're looking at a bunch of deals right now. Those are continuing to be the areas that we're focusing on, and we're seeing enough deal flow to really enable us to continue to stay focused on those areas.
Timothy D'Agostino: Okay. Great. Thank you so much, and congrats again on the quarter.
Brian Sedrish: Thank you.
Operator: And our next question comes from Jade Rahmani with KBW. Your line is open.
Jade Rahmani: How are things going on the debt side of the business strategy? I know you have been focused on further syndication, bank participation, and the repo line. As well as plans for a bond issuance.
Leonard Mark Tannenbaum: Okay. Start with the easy one. We're not going for a repo line for sure. We really are differentiated from the other mortgage REITs in that we don't want to do these four-time leverage deals. And repos. We think that's how you get in trouble. We're instead going more after the latter financial model of getting an investment-grade rating over time, not levering over one to one and a half times. From a bank perspective, it's really great. There's a lot of interest in banks. Think Jeff Bacuzzi, who leads our DCM desk, is doing a good job educating these banks as they come in one by one. And they have very positive experiences. But because our portfolio is really strong. So I think so far, so good. With expanding our bank lines at that two seventy-five over SOFR level. So I think that's the way we're gonna continue finance. I did say in the last call that I was gonna look to do a I don't know, either preferred or unsecured offering. We're still working on it. We're watching the tape today as read after read has started to print perpetual preferreds. And they're actually being absorbed by the market. So we are watching that market. We do intend to be there this quarter or next quarter. But, you know, you do have to have the market open. So I think that is gonna be a good Okay. A good enhancer.
Jade Rahmani: Where do you think the cost of the preferred would be?
Leonard Mark Tannenbaum: I mean, you're seeing them at the at a Right? You see a $7.07 eights today, from one read. Eight got done. Pine got one done at eight. So it seems like that's the number. I really don't wanna price much higher than that. Because, I wanna make sure we get a good net interest margin over time. So we'll wait for the right price if we have to.
Jade Rahmani: Okay. And you prefer to do that than to take up leverage through warehouse line?
Leonard Mark Tannenbaum: Absolutely. I really I have no desire to do repo. I no desire to do warehouse. In this product. This product, you know, I own 25% of the product. We wanna protect our investors downside by not over levering it. So we oh, we, by the way, may not be preferred. It could be debt. I like I really liked our unsecured debt too. You know, five and six and seven year unsecured, it could be a baby bond, it could be a preferred. There's a lot of variety of things that we could do that we could lever appropriately and not get not get into trouble in the downturn.
Jade Rahmani: Thanks. It's been an interesting cycle. We have not really seen you know, I would say, high volatility and sort of violent pressure on the repo side as what we saw in the financial crisis. We've seen managed deleveraging from several of the mortgage REITs that have major credit issues, but it's been, you know, a lot more stable on credit lines or bank you know, warehouse lines are an area that banks definitely seem to be looking to be more active. Could you please comment on the portfolio underlying performance and any trends in the underlying deals? That you're seeing thus far? You know, I know these are construction deals, so completion is probably the the biggest hurdle. But if you could, you know, give a comment on as to how the largest deals are trending.
Brian Sedrish: Sure. Yes, Jade, I'll take it. It's Brian. Our portfolio now is performing as really as expected. I mean, of course, in any of these deals, there are always things that pop up that need to be addressed. Borrower calls us and says, know, they'd like to do something because they think it's more value add or maybe there's a two-week delay here or there. But that's just ordinary course. The underlying construction activity and progression has been going well on all the loans that we have. And then on the top line, in terms of if it's presales on condos or whether it's lease-up, they've all been, they've all been moving along as expected. There's nothing particularly exciting about the progress, which is what we love. Slow, steady, expected. And that's that's what we're continuing to see. There's actually been a bit of a pickup recently on a couple of our for-sale projects, just resulting from, I think, just a view of more migration down this particular case to South Florida. I expect that will continue in light of some of the political environment. But other than that, everything's pretty normal course.
Jade Rahmani: Thanks very much for taking the questions.
Brian Sedrish: Sure. Thanks a lot.
Operator: I am showing no further questions in the queue at this time. I would now like to turn the call back over to Brian for closing remarks.
Brian Sedrish: Great. Well, thank you everybody for joining. We are excited about the upcoming quarters and the prospects and the pickup of momentum. We look forward to talking to you again in the coming quarters.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.